Operator: Good morning, ladies and gentlemen. Welcome to the Fulton Financial First Quarter Results Conference Call. This call is being recorded. I will now turn the call over to Jason Weber. Please go ahead, sir.
Jason Weber: Thanks, Ashley. Good morning. Thanks for joining us for Fulton Financial’s conference call and webcast to discuss our earnings for the first quarter of 2018. We are experiencing some technical difficulties with our webcast. When you sign-in, please download the slides and follow along. Click on the files tab on the bottom left to download the slides. We will now be able to advance the slides on the screen. We apologize for any inconvenience. Your host for today’s conference call is Phil Wenger, Chairman and Chief Executive Officer of Fulton Financial Corporation. Joining Phil Wenger is Mark McCollom, Senior Executive Vice President and Chief Financial Officer. Our comments today will refer to the financial information and related slide presentation included with our earnings announcement, which we released at 4:30 p.m. yesterday afternoon. These documents can be found on our website at fult.com by clicking on Investor Relations, then News. The slides can also be found on the Presentations page under Investor Relations on our website. On this call, representatives of Fulton may make forward-looking statements with respect to Fulton’s financial conditions, results of operation and business. These statements are not guarantees of future performance and are subject to risks, uncertainties and other factors and actual results could differ materially. Please refer to the Safe Harbor statement on the forward-looking statements in our earnings release and on Slide 2 of today’s presentation for additional information regarding these risks, uncertainties and other factors. Fulton undertakes no obligation, other than as required by law, to update or revise any forward-looking statements. In discussing Fulton’s performance, representatives of Fulton may refer to certain non-GAAP financial measures. Please refer to the supplemental financial information included with Fulton’s earnings announcements released yesterday in Slides 12, 13 and 14 of today’s presentation for a reconciliation of these non-GAAP financial measures to the most comparable GAAP measures. Now, I would like to turn the call over to your host, Phil Wenger.
Phil Wenger: Thanks, Jason and good morning everyone and thank you for joining us. I have a few prepared remarks before our CFO, Mark McCollom shares the details of our first quarter financial performance and discusses our 2018 outlook. Overall, first quarter earnings were generally in line with our expectations despite slower than expected growth in loans and deposits. Positives for the quarter included a 6 basis point increase in our net interest margin, stable credit conditions and the decline in non-interest expenses. We reported diluted earnings – diluted per share earnings of $0.28, an increase of 47.4% linked quarter and 12% year-over-year. Excluding the impact of the tax charge in the fourth quarter of 2017, diluted per share earnings were flat linked quarter. Our return on average assets was 1.01% and our return on average tangible equity was 11.85% for the quarter. Average loans increased 0.6% or $101 million linked quarter and 5.4% or $803 million year-over-year. Loan demand is typically softer in the first quarter and both our line borrowings and total originations declined reflecting the seasonality. Also, a portion of the loan growth we normally see in the first quarter was likely pulled forward in the fourth quarter of 2017 due to the tax change and as a result negatively impacted loan growth in the first quarter. Our average commercial mortgage portfolio increased 1.2% linked quarter and 4.4% year-over-year. Growth was primarily in our Pennsylvania market and to a lesser extent in our Virginia and Delaware markets. As we mentioned in prior quarters, our owner-occupied commercial mortgages represent close to half of the overall commercial mortgage portfolio and we remained well within the regulatory guidance on concentrations in commercial real estate lending. We will continue to take advantage of the market opportunities to grow our commercial mortgage portfolio. Consistent with Fulton’s underwriting standards, we generally lend to borrowers that have stable cash flow and sizable equity position. On average C&I loan portfolio, ours averaged – C&I loan portfolio increased 0.6% linked quarter and 2% year-over-year. Growth was spread across a broad range of industries and concentrated in our core Pennsylvania market. Our current commercial pipeline increased linked quarter and remains at a level that should allow us to produce mid single-digit loan growth in 2018. Our average residential mortgage portfolio increased 1.7% linked quarter and 19.6% year-over-year. Growth in this portfolio was moderate this quarter driven by seasonality and to a lesser extent by selling more production in the secondary market. We sold 62% of originations in the quarter compared to approximately 50% for all of 2017. Growth was primarily in our Maryland and Virginia markets. Turning to funding, deposits declined linked quarter, driven by a reduction in commercial and municipal deposits. However, deposits increased year-over-year. Our loan to deposit ratio ended the quarter at approximately 101% within our historical operating range. Turning to credit, overall asset quality continues to be stable and delinquencies and net charge-offs continued to be at historically low levels. Moving to fees, non-interest income declined linked quarter due to some seasonality in some of our products and businesses, mainly in our commercial loan interest rate swap and SBA loan sale fees. Given the current pipeline, we believe fees in these two businesses will improve throughout 2018. The efficiency ratio increased linked quarter despite a reduction in non-interest expenses. The efficiency ratio for the first quarter of 2018 was 67.5% outside our stated goal of 60% to 65%. While seasonally weaker revenues and tax reform were the primary drivers of the increase, we are not satisfied with an overall non-interest expense levels. Expense management is the top priority and we continually look for ways to make our organization more efficient, while continuing to invest in our company to support larger organization. On the capital front, we increased our quarterly common dividend by $0.01 to $0.12. We did not repurchase any common stock during the quarter. We have approximately $31.5 million left in our current share repurchase program which is authorized through December 31, 2018. Turning to regulatory matters, as we mentioned last quarter during the fourth quarter of 2017, the BSA/AML consent orders issued to three of our subsidiary banks were terminated. We are working diligently to achieve a similar resolution with respect to the remaining BSA/AML consent orders. We will have updates throughout the year. With respect to the Department of Justice’s ongoing fair lending investigation, we will continue to cooperate with that investigation and have nothing new to report. Looking forward, I remain optimistic for the remainder of 2018, our local economies are performing well, our pipeline is growing and we continue to benefit from rising rates. We believe we can create meaningful earnings growth in 2008. At this point, I would like to turn the call over Mark McCollom to discuss our financial performance in more detail. Mark?
Mark McCollom: Thanks, Phil and good morning everyone. While we have a chance to meet and we will chat with many of you on the call, I would like to reiterate how happy I am to be here at Fulton and I look forward to working with you on the months and years ahead. Now turning to our earnings, unless noted otherwise the quarterly comparisons I will be discussing are with the fourth quarter of 2017. Starting on Slide 4, as Phil noted earnings per diluted share this quarter were $0.28 on net income of $49.5 million. So now I am going to dive a bit deeper into each of the components of our earnings and provide some additional color. Moving to Slide 5, our net interest income was $151 million, an increase of $1.9 million linked quarter, which exceeded our internal expectations. As you all know, the first quarter has a couple of factors working against many banks, 2 less calendar days and typically slower growth due to seasonality. Despite those headwinds, we were able to produce linked quarter growth in net interest income by generating a higher net interest margin than our expectations. Our net interest margin expand by 6 basis points to 3.35% for the quarter and this occurred despite also absorbing the negative hit to our margins related to the presentation of tax equivalent yields for certain loans and investments using a 21% marginal tax rate for the first time. Last quarter, we had indicated that this tax rate change will likely drive a first quarter decline in net interest margin of 1 to 5 basis points. There are two principal principle reasons for this positive result to our net interest margin. First, deposit betas remain below our internal expectations for the first quarter as our cost of interest-bearing liabilities increased only 4 basis points. We have seen deposit competition pickup in the back half of the quarter and our expectation for future periods is that deposit betas will likely increase. Second, our net interest margin improvement was driven by a reduction in short-term investments as those balances ran down late in the fourth quarter of 2017 and into the first quarter of 2018, which in turn reduced the linked quarter balance approximately $270 million. This trend tends to occur each year as our muni deposit inflows typically peak in the third quarter and then ebb in the fourth and first quarters and we maintain higher liquidity to account for that. So to recap these items, in total, they increased our net interest margin driven by higher interest earning asset yields, which increased 10 basis points and outpaced the 4 basis point increase in our funding costs. I also want to remind everyone that our balance sheet remains asset sensitive as 43% of our loan portfolio is variable, 35% is adjustable and only 22% is fixed rate. With respect to average balances, the decrease in average interest-earning assets reflected the impact of a $100 million increase in average loans offset by the $270 million decrease in short-term investments I just discussed. Average deposits were off $636 million or 4% in the first quarter. Municipal deposit runoff accounted for over half or approximately $330 million of this decline. In addition, some of this decrease was due to a change in customer behavior to use short-term promissory notes in lieu of deposits as this category grew $110 million. On a point-to-point basis, the deposit decline was less than our average balance decline at $320 million or $210 million after giving consideration to the customer shift to our short-term promissory product. Municipal deposit runoff contributed to $140 million of the ending balance runoff. Offsetting this decline, our short-term borrowings increased $210 million primarily in Fed Funds purchased. Turning to credit now on Slide 6, based on our valuation of all relevant credit quality factors, we recorded a $4 million provision for credit losses in the first quarter, $2.8 million lower than the provision in the fourth quarter of 2017. The allowance for credit losses as a percent of loans remained unchanged from year end 2017 to the end of the first quarter at 112 basis points. The coverage of the allowance to non-performing loans was also unchanged at 131%. Annualized net charge-offs to average loans were 10 basis points for the quarter, which is a decrease from the full year 2017 net charge-off rate of 12 basis points and the fourth quarter 2017 rate for 14 basis points. Ending nonperforming loans were essentially unchanged linked quarter at $135 million. Nonperforming loans as a percent of total loans was 86 basis points as compared to 85 basis points linked quarter and 8 basis points a year ago. Delinquencies continued to improve ending the quarter at 1.19% of total loans as compared to 1.24% at year end or 1.23% for the first quarter a year. Moving to Slide 7, our non-interest income excluding securities gains for the quarter was $45.9 million, a decrease of $9.2 million linked quarter. As a reminder in the fourth quarter of 2017, we recognized a $5.1 million gain on the settlement of litigation. Excluding this item, the linked quarter decrease was $4.1 million or a little over 8%. The principle declines were in commercial loan swap fees of $1.6 million and gains on sale of SBA loans of $1 million and we are tied to slower first quarter growth due to seasonality. Debit card revenues also declined $700,000 and this was an expected post holiday season outcome. We should also note that our securities gains for the quarter were only $19,000 and given the portfolio repositioning that occurred last year plus recent increase in interest rates, we would not anticipate any meaningful securities gains in the near-term. Moving to Slide 8, non-interest expenses were $136.7 million, a decrease of $1.8 million in the first quarter. Excluding lower amortization of tax credit investments and a $3.4 million charge we reported in the fourth quarter of last year for the write-off of certain accumulated technology costs, non-interest expenses increased $3.3 million. Salaries and benefits expense accounted for $2.3 million of this increase and this was largely attributed to a seasonal bump in payroll taxes due to the reset of FICA and state taxes at the beginning of the year. Other expenses – our other expense increases were in professional fees of $1.2 million and a seasonal increase in net occupancy expense of $1.1 million. Partially offsetting these increases was a decrease of $800,000 in FDIC insurance expense. First quarter expenses also included $750,000 related to the consolidation of four of our branches. This was in addition to $250,000 recognized in the fourth quarter of 2017. The expected annual expense reduction from these closures is approximately $1.4 million or a payback of a little less than 1 year. We will continue to value opportunities to further streamline our branch network and also to manage overall expenses. Income tax expense decreased $20 million linked quarter due primarily to the fourth quarter reporting of a $15.6 million tax charge. As a reminder this tax charge is for the re-measurement of deferred tax assets of applying the new 21% federal corporate tax rate established by federal tax reform law. It was enacted in December of last year. For first quarter of 2018, our effective tax rate was 12.5%, in line with our guidance. If you are clicking on, Slide 9 displays our profitability and capital levels over the past five quarters. We continue to see increases in both the terms on average assets and returns on tangible equities over the periods presented. In conclusion, we have included on Slide 10 a summary of our outlook for the year. We have made two changes to this outlook since last quarter. First, we have increased our net interest margin guidance to be an annual increase of 5 basis points to 10 basis points, up from prior guidance of 2 basis points to 7 basis points. The two reasons for this revision are the better than expected first quarter 2018 results we already shared with you plus the positive impact of the March increase to the fed funds target which was not assumed in our original guidance. Based on anything we note today, the upper end of our revised net interest margin range feels like where we are heading, but actual deposit and loan betas were factored heavily into that guidance going forward. For the remainder of 2018, our guidance assumes 25 basis point rate hikes in June and December. We have also tightened our guidance on our effective tax rate to be between 11% and 14%. The primary reason for this change is simply the passage of time and working through sweeping tax legislation and assessing its impact on our company. And with that, I will now turn the call over to our operator, Ashley for your questions. Ashley?
Operator: Thank you. [Operator Instructions] Our first question comes from Frank Schiraldi of Sandler O’Neill. Your line is open.
Frank Schiraldi: Good morning.
Phil Wenger: Good morning, Frank.
Frank Schiraldi: Just a couple of questions on the contraction in deposit balances linked quarter, you talked about or up partially obviously it’s seasonal nature of the munis, but you also talked about a change in customer behavior? Just wondering how that change maybe changes your deposit gathering of strategies and if you have increased pricing and some other products in response?
Mark McCollom: Yes, hey, Frank. Good morning. This is Mark. Yes, we are constantly looking at deposits, looking at just what those deposit betas have been historically assessing where we need to be in terms of being competitive going forward. What I will note on that fourth quarter decline is that despite there being a decline in balances on the commercial side, which is where most of – you saw decline in actual balances, we actually grew our commercial checking accounts during the quarter. So, despite there being a small increase in the number of accounts, the balances came off. So again, as we have said in earlier comments, it feels like part of that was some planning going on with respect to tax reform. But with respect to your question on rates and what we are doing about that is something where we are thinking about constantly and again in my comments on margin, our view is that deposit betas will likely increase in the coming quarters in order to get back on track to a deposit growth.
Frank Schiraldi: Okay. And then you mentioned the strong pipeline, Phil, on the commercial side, just wondering how that pipeline, how the commercial loan pipeline compares on a where it stands now on a year-over-year basis?
Phil Wenger: And the year-over-year basis is down slightly.
Frank Schiraldi: Okay.
Phil Wenger: I will add Frank that competition for loans right now I think is stronger than it’s ever been. So, that’s going to impact our pricing going forward and it also impacts the percent of loans that we get to close.
Mark McCollom: Yes. And Frank, I would just add that as you think to where we were a year ago where our pipeline was high in the fourth quarter as that ended up driving 7.8% organic loan growth. Our guidance for this year is mid single-digit range, which reflects where the pipelines currently stand.
Frank Schiraldi: Okay, great. Thank you.
Operator: Our next question comes from Chris McGratty of KBW. Your line is open.
Chris McGratty: Hi, good morning. Thanks for the question.
Phil Wenger: Hi, Frank.
Chris McGratty: Hey, Phil. Maybe a question on capital, you talked about the 31.5 that remains on the buyback and also kind of the BSAs that are kind of a work in progress? How should we be thinking about using the buybacks, obviously you haven’t been doing it in recent quarters, is it above the level of the stock, I mean, you are at a discount on a price-to-book to peers. Just interested if that might be a tool that you might be considering?
Phil Wenger: I would say that at this point we are starting to consider more than we have been for a couple of years. And there will be a number of things that factor into it, including how our growth picks up, what level of dividends we want to have for the year, but growth is going to be a big factor in the next two quarters as to whether we get back into that again.
Chris McGratty: Okay. Thanks for that. Mark I mean I have missed in your comments about the variable rate nature of the book, but did you disclose or can you disclose the proportion that is LIBOR based given the big move in LIBOR?
Mark McCollom: Yes. It’s of our loans that are either adjustable or variable it is split – I think it’s 37% or 38% LIBOR based and then another 37% or 38% are prime mix.
Chris McGratty: Okay. And last question, I will hop back, the fee guidance, the $46 million in the quarter if you would kind of back into the 2% to 3% for your growth that with suggest me to do 51 – roughly 50-51 a quarter, understanding the swap fees move around and should redound, what else needs to occur to get to that guide?
Phil Wenger: Well, we need our investment management and trust area that continued to be strong and did have good growth year-over-year there. We continued that growth there. We need mortgage to continue to build as we go through the year. I think they would be the two largest factors besides swap and SBA coming back.
Chris McGratty: Okay. Thank you very much.
Operator: Our next question comes from Joe Gladue of Merion Capital Group. Your line is open.
Joe Gladue: Good morning. Thank you.
Phil Wenger: Good morning Joe.
Joe Gladue: Just like wondered if you could give a little bit more color on the competitive environment on the loan side just is anybody being particularly aggressive on where are people being aggressive in terms of pricing and in terms and maybe a little bit about the just where that stands geographically and just to add on to that question were there any particular – any significant payoffs during the quarter to – I guess to write-down numbers?
Phil Wenger: Yes. Pay-offs were not – were a lot different than they have been – than we have been experiencing. So I don’t think that impacted the numbers. Our line borrowings were down $22 million. And we are – we don’t really mention names as it is doing what, but we are seeing banks that are doing longer term fixed rates than what we are comfortable with. And we are also getting a lot of competition now from life insurance companies on the commercial real estate side. So I think they are going much longer fixed rates and much longer amortization periods than we are comfortable with.
Joe Gladue: Okay. And just on the commercial side sort of the average yields is on new originations, where are they in relation just on to the average portfolio yields in that category?
Phil Wenger: So I think for the quarter we are about 440 and it started running off was at 404.
Joe Gladue: Okay, alright.
Operator: Our next question comes from Russell Gunther of Davidson. Your line is open.
Russell Gunther: Hey, good morning guys.
Phil Wenger: Good morning.
Russell Gunther: I should start follow-up on some of the loan growth commentary, maybe you parsed a little bit, you mentioned the strength of the commercial pipe, also the increased competition, so as we think about the average loan growth guide that stayed unchanged, could you give us a sense for what the loan mix of that might look like and as well as particularly strong geographic drivers?
Phil Wenger: And so I think we are looking at growth this year in C&I commercial real estate and we will have some growth in the mortgage portfolio also. So our core Central Pennsylvania market would still provide the most growth in the C&I and CREs. In the mortgage area we are actually – our growth is being driven by our Virginia and Maryland markets.
Russell Gunther: Got it, okay. I appreciate that. And then last one for me just to follow-up on some of the margin commentary. Could you guys maybe help isolate for what the negative impact was from overlaying the new corporate tax rate? And then you mentioned some of the upside was in deposit betas being lower than you expected, maybe just give us your thoughts on what you were modeling and what’s your model going forward?
Mark McCollom: Yes. It’s – good morning, it’s Mark. First, the impact of tax reform in the first quarter was about 6 basis points. So – and that was principally due to both we have about a little over $1 billion in tax free loans as well as $400 million of municipal loans. So, the effect of tax reform on the margin was about 6 basis points. And I am sorry the second part of your question….
Russell Gunther: Yes, the second part was on the deposit betas, so part of the commentary was the better result was they came in lower versus what you were looking for, just give us some help on kind of how you were thinking about that and how you are thinking about it going forward?
Phil Wenger: Yes. I mean, if you go back both for us as well as many other banks in the last time we are in the rate up-cycle deposit betas were generally in 40s and our specific numbers were in line with that. So, heading into this one I think the entire industry has been surprised at how low the betas have been able to be thus far and we had anticipated that you would see a ramp up not necessarily in the first quarter being that low or being that high rather, but that you would get to deposit betas approaching 40% as the year goes on. In the first quarter, you didn’t see that, but on a go forward basis, again, our assumption is there is going to continue to be ramp up in those deposit betas and I think that there is kind of two factors to that, I mean that’s both customer retention but also new customer acquisition.
Russell Gunther: Got it. Okay. Very helpful. Thanks, guys.
Operator: Our next question comes from Brody Preston of Piper Jaffray. Your line is open.
Brody Preston: Good morning guys.
Phil Wenger: Good morning.
Brody Preston: Just have a question, I guess a follow-up on loan growth you mentioned that the pipeline is down slightly year-over-year, competition has sort of picked up quite a bit, but the guide remains sort of mid single-digit. So, I guess that would imply roughly $800 million in growth throughout the rest of the year and that quarterly growth rate I guess is around $265 million per quarter, which is a little bit more than what you have done on a quarter-over-quarter basis over the last 3 years. So, I just wanted to get a better sense for what gives you confidence that you will be able to hit that number?
Phil Wenger: Well, in the last 2 years we have had, I’d say, the majority of our orders were at or higher than that level. That will be my first comment. And I mean, we are – we are going to get more aggressive in our pricing and we continue to have a very active calling program. And so what we see right now we can – we believe we can achieve that.
Mark McCollom: Yes. I would also add if you go back and look in the first quarter of last year, the first quarter of last year was actually very unusual, because we actually had significant loan growth in the first quarter, but if you go back and look over the last decade that is not typically the trend. So, normally for us the second and third quarters tend to be where you see that the most significant portion of your annual loan growth. And again, I will reiterate that a year ago we have 7.8%, which I think when you give sort of a low, mid, high that would have been high in terms of loan growth and our guidance for this year is mid which would be something near the middle of 0 to 10.
Brody Preston: Okay, that’s great. And then on being more aggressive on pricing and I guess one of the early fears in terms of the tax reform is that people would compete away some of the benefits that you are seeing through pricing. Is that something that you are seeing throughout your markets?
Phil Wenger: I would say that, yes, we are seeing them.
Brody Preston: Okay.
Mark McCollom: No, I am sorry I was going to add that when you see the comments on margin guidance, we commented that what’s going to impact that going forward is not only deposit betas, but also asset betas to acknowledge your point.
Brody Preston: Yes. Go ahead. I was just going to say – I was going to switch gears a little bit on the deposit front, you mentioned some seasonality from the munis and some of the customers changing their behavior a little bit into promissory notes, it looks like you had a similar increase last quarter in the short-term promissory notes, so I guess this is a two part question, I guess customers are switching with accounts to the promissory notes and what’s the rate differential between sort of I guess your average products and the promissory notes?
Phil Wenger: Yes. It’s I mean really look at customers doing is they are just trading off either having a secured deposit which is secured by investment securities or on our balance sheet which would carry a lower rate to an unsecured product will be carrying a higher rate or in the case of the promissory note something that what would be uninsured by the FDIC. And above the FDIC rates have been – also carry a higher rate for the additional risk of customer is safe. And so it’s really just the customer is saying or us suggesting to them hey use different ways that you can get a higher yields today, if you are willing to either forgo a secured nature of deposit or if you are willing to forgo FDIC insurance.
Brody Preston: Okay. And what is I guess maybe the rate differential?
Phil Wenger: Yes. I don’t have that right on my finger tips, but I can certainly follow-up with that.
Brody Preston: Okay. And then on the expense front, some of the up-tick you mentioned was related maybe professional fees and tax reform and obviously we can’t predict what the snow is going to be like, so are you expecting sort of the professional fees to ramp down from here?
Mark McCollom: Yes. I only anticipate in the next couple of quarters that the professional fees number to rebound a little bit. And also back to your earlier question about rate differential, I mean the promissory notes kind of trades in line with the commercial paper market.
Brody Preston: Okay. And then on the application that you guys filed, the consolidation on your subsidiaries, just wanted to get some of your thoughts on that any sense for timing?
Phil Wenger: So we filed an application to consolidate our two small OCC banks into Fulton Bank. So there are those three banks that have had the BSA orders released. We would anticipate hearing back from that in I think its 45 days from when the application is submitted. So towards the end of May, we will hear back and hopefully we can proceed. I don’t anticipate that there will be a lot of costs driven out buyback, but as the other orders are released we will continue that consolidation process.
Brody Preston: Okay. And then could you just talk about your expectations for CCIL, I know it’s a little early, but I just think to get your thoughts on how you are thinking will impact things going forward?
Phil Wenger: I think you are correct, this is very early to reach to be commenting on CCIL and it is something that I will say that we have a lot of people internally we are focused on it. It’s multi-disciplined within our credit team, our finance team. We do have nationally recognized outside third-parties assisting with that, but when you look at what the potential impact would be, I am sure we will realize things out there and you can drive a truck through those estimates right now, they are very, very wide and I am not in any position yet to comment on this vertical.
Brody Preston: Helpful. And then just last one for me is just following up on the NIM, sorry if you already addressed this, what happened to the margin this quarter was initial expectations, I think the guide was for down 1 basis point to 5 basis points on FTE basis, was it just the asset mix shift or was there something else going on?
Mark McCollom: Yes, sure, kind of couple of things going on there. One is that we did have an asset mix shift where our short-term investment balance, which tends to be higher in the fourth quarter as we prepare for municipal deposit runoff that typically adds in the fourth and first quarters. So, that came off a little good. And then our expectations why we call it would be down would be due to tax reform was taking away around 6 basis points from our margin due to the impact on tax-free loans and tax-free investments, but the real driver was deposit betas, which you have heard some other comments on here, if you jumped on a little late. Deposit betas for us came in lower than our internal expectations.
Brody Preston: Alright, great. Thank you very much for taking all my questions.
Phil Wenger: If I could clarity one point for you all, Joe had asked the question a few folks back about the – our yields on production compared to what was running off and I transposed the number and so I want to clarify. But our loans – our new production, I did have an average yield of 4.4%. I have said the payoffs were 4.04% and they were actually 4.4% also, I transpose that number. I wanted to clarify. Thank you.
Operator: Our next question comes from Daniel Tamayo of Raymond James. Your line is open.
Daniel Tamayo: Good morning, guys.
Phil Wenger: Good morning.
Daniel Tamayo: Just a quick one, most of my questions have been answered, but related to the remaining consent orders and then the potential for M&A following that, how quickly do you think you can actually – how quickly will you begin to look at potential M&A activity once you are out from the orders and then how quick can you actually go through with the deal? Obviously, this is hypothetical, but in terms of how you are thinking about that?
Phil Wenger: It’s hypothetical. It’s really hard to say. I mean, we haven’t really talked to any of our regulators about that process. I have meeting with folks all along and as a strategic opportunity comes along, we would be interested, but the timing and all that stuff is really hard to say.
Daniel Tamayo: That’s fair. And I am going to jump back into the NIM here just real quick, I hear what you guys are saying on all the drivers going forward, but with the increase in the guidance there just kind of near-term 2Q and 3Q, was there anything unusual in the first quarter in terms of you mentioned payoffs were similar, but loan fees or non-accrual recoveries, the day count, anything that would kind of impact the near-term NIM coming up here in the next quarter?
Mark McCollom: They count a little bit. There is obviously 2 less calendar days in the first quarter than the second quarter. And you have a positive impact there. And other than that, I mean, it really comes back to the – in the first quarter you had the impact, even though you had kind of fourth quarter rate, we didn’t see the full effect of that because you had tax reform going on at the same time. So, now for the rate move that occurred in March, you need to take the percent of our balance sheet that is variable, apply that rate move, but now you have already – you are working off of a base in the first quarter in terms of your loan yields that already has the full effect as that declined with respect to your tax-free loans and investments.
Daniel Tamayo: Alright. Thank you.
Operator: Our next question comes from Austin Nicholas of Stephens. Your line is open.
Austin Nicholas: Hey, guys. Good morning.
Phil Wenger: Good morning, Austin.
Austin Nicholas: I think most of my questions have been answered and you may have answered this question already I apologize, but on the tax rate, what drove the tighter outlook there on the low end?
Mark McCollom: Yes, sure. Really nothing more than just with the passage of time working through this is obviously sweeping tax legislation and just working through that assessing the impact on the company and assessing the impact of as you know we have a tax credit investment portfolio and assessing where pricing was going in that market, which would in turn assess how much of that we would be utilizing in 2018 were the principal factors driving the guidance tighter.
Austin Nicholas: Understood. So, would it be fair to say that the tax credit business the pricing is remaining I guess stronger than expected and therefore allowing you to take some more of the gains and lower your tax rate?
Mark McCollom: Well, yes. Yes, I think that’s fair. I mean, obviously in that market, the amount to buy a credit today is less than it was pre-tax reform, but for us, it was really just working through the numbers, figure out how much of it we would need to utilize in 2018.
Austin Nicholas: Understood. Okay, that’s helpful. And then maybe just on credit, obviously credit was really good, anything – any migration you are seeing at all in the book, I mean, maybe how is the agriculture book, I know it’s small, but how are – I guess how is credit migration looking there?
Phil Wenger: Yes. Overall, we are really not seeing any negative trends in credit. And I would say that the ag portfolio is still a concern, but it’s not worse than it was. It’s steady.
Austin Nicholas: Got it. That’s helpful. And then maybe just a wider broader question as you look at the Dodd-Frank reform bill as it kind of stands today, I know there is likely to be changes, what would be the biggest beneficiaries in that bill to Fulton if you have done the analysis? And then maybe what would be some concerns?
Phil Wenger: So, in the Senate bill, there really is not all that much that’s going to impact us. We won’t be required to do a DFAST anymore. That’s really the only thing. But it’s a process we put in place and I think what won’t be required, it maybe expected from our regulatory agencies as we go forward. But it’s a start and we are really hopeful that something can be approved.
Austin Nicholas: Agreed. Thanks for taking my questions guys. That’s all I got.
Operator: Our next question comes from Brian Zabora of Hovde Group. Your line is open.
Brian Zabora: Thanks. Good morning.
Phil Wenger: Good morning, Brian.
Brian Zabora: Sorry if I missed this, but did you indicate how much the municipal deposits were down in the quarter?
Mark McCollom: We did. Just let me find that again. On an average balance basis, they were $330 million.
Brian Zabora: Okay. So most of the decrease in the quarter, just wanted to get thoughts, I know there is some seasonality, but your loan deposit ratio was a little bit over 100% here. Is there upper limit and just how do you think about funding if depending on kind of deposit growth in other areas?
Phil Wenger: Historically, we try to manage between 95 and 105. There have been periods, where we have been higher than 105, but we really work hard to stay in that range.
Brian Zabora: Great. That’s all I had. Thanks for taking my questions.
Phil Wenger: Thank you.
Mark McCollom: Thanks, Brian.
Phil Wenger: Well, if there are no further questions, thank you all for joining us today. We hope you will be able to be with us when we discuss second quarter results in July.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program. You may all disconnect. Everyone have a great day.